Operator: Welcome to the Columbus McKinnon conference call. [Operator Instructions] Today's conference is being recorded. At this time, I'll turn the call over to Mr. Tim Tevens, President and CEO. You may begin, sir. 
Timothy Tevens: Well, thank you, Shirley. Welcome to the Columbus McKinnon conference call to review the results of the full fiscal year '12, as well as our fourth quarter. With me today is Greg Rustowicz, our Vice President of Finance and CFO. Please note that we have included summary slides of the quarter and for the year for your review. They could be found at our website, www.cmworks.com/investors. Hopefully, that will help you follow our earnings call as we make commentary on the release. 
 We do want to remind you that the press release and accompanying slides and the conference call may contain some forward-looking statements within the meaning of Private Litigation Reform Act of 1995. These statements contain known and unknown risks and other factors that could cause the actual results to vary. You should, in fact, read the periodic reports that Columbus McKinnon files with the SEC to be sure you understand these risks. 
 As a reminder, and we'll start on Page 3 if you're following along on the presentation, our long-term objectives include growing to be a $1 billion business with about 1/3 of our revenue in developing markets and 2/3 in developed markets, along with the $200 million to $300 million in acquisitions, following up with the 12% to 14% operating margin and a strong working capital leverage -- level, as well as an overall balance sheet -- very strong balance sheet. We continue to focus our resources and energy on acquiring companies that strategically add product breadth, as well as market presence to help us grow around the world. 
 We are executing our strategic plan, as shown on Page 4, to grow profitably by serving markets that need safe and productive material handling equipment. We are investing in international markets, making strategic and value-added acquisitions, investing in new products in targeted vertical markets, as well as improving our operations through our Columbus McKinnon Lean business program. 
 Now let's review some highlights of fiscal '12 fourth quarter. That starts on Page 5. 
 Our revenue growth continued a nice positive trend, up almost 11% for the quarter, with volume representing certainly the bulk of this growth. The U.S. is definitely in full recovery mode now, up about 20%, whereas the non-U.S. sales were up about 4.2% net of currency translation. Europe is still growing for us, but at a slower pace. Asia-Pacific and Latin America, these are 2 emerging markets which I know you all know we're investing in, are small yet growing very rapidly. 
 Our global bookings in the quarter also continued their positive trend and are up in the high single-digit range over last year. Our backlog is up to about $114 million, that's up almost $25 million over last year, last year's March. The United States Industrial Capacity Utilization is up to 78.4% in April. And the Eurozone, the industrialization there is up to 79.8% as of March, that ticked up slightly. And based on discussions with our channel partners and end-users alike, we believe that the U.S. industrial economy remains pointed in a very positive direction; Europe, clearly, is slowing, but is still growing; and the Asia-Pacific and Latin America are up significantly, as you know, it's a lower base of business for us and it's something that we are investing in and we're seeing some very nice growth rates in those emerging markets. 
 Our operating income increased almost 46% to $13.6 million, and our operating margin was at 8.6%. Leverage -- the operating leverage was almost at 28% for the quarter. And as you can see, our earnings per share was $0.46 in the fourth quarter, up from $0.12 last year. 
 Fiscal '12 was a very nice recovery year for us. And as you can see on Page 6, our revenue was up almost $68 million, or 13%. Our gross profit margin increased to 26.6%. Our gross profit was up to $157.7, or up about 25% over last year. Our operating income was up $45 million -- up to $45 million, or up $18.6 million from last year, with a margin of 7.6% and operating leverage for the entire fiscal year of 39%. As you can also see, we've had some very nice cash flow from operations for the year at $23.6 million. 
 And now, at this point, let me just turn this over to Greg, and he'll provide a few more details for the fourth quarter and for the full fiscal year. 
Gregory Rustowicz: Thank you, Tim, and good morning, everyone. I'm pleased to have the opportunity to review with you the financial highlights of Columbus McKinnon’s fourth quarter and fiscal year that ended on March 31, 2012. 
 Turning to Slide 7. Consolidated sales were $159.6 million, up 10.8% over the prior-year period. This was our fifth consecutive quarter of double-digit revenue growth. Volume grew 9.6% overall. For the quarter, U.S. volume was up 17.1% and non-U.S. volume was up 1.3% over the prior year including the benefit of 1 additional shipping day. The lower overall volume growth outside of the U.S. is being driven by our European Engineered Products business that was off about 15% due to delays in certain large projects. Overall, pricing added an additional 2.9% to revenue and foreign currency translation had a 1.7% negative impact this quarter, largely due to the weaker euro. 
 Moving to Slide 8. Our fourth quarter consolidated gross profit dollars increased by 18.2%, and our gross profit margin improved 170 basis points, 27.7%. Our gross profit benefited by $5.9 million from the increased sales volume previously mentioned. In addition, our now completed hoist restructuring program added $800,000 of incremental gross profit in the fourth quarter. 
 On Slide 9, consolidated selling expense increased 3.9% from the prior year in dollar terms, and decreased to 10.9% of sales this year compared to 11.6% last year. The increase in selling cost is primarily related to the overall increase in sales. Currency translation was insignificant this quarter. Consolidated G&A expense increased $2 million compared with the prior year, representing 8% of sales versus 7.5% in the prior year. About $1 million of the increase was related to our ERP system implementation and higher HR professional services. The remainder was due to general inflationary increases. 
 Turning to Slide 10. Operating income increased by $4.3 million to 8.5% of sales, compared to 6.5% of sales in the previous year. Operating leverage in the quarter was 27.7%. The improvement in operating income is being driven by the sales volume increases, as well as the benefits of our hoist consolidation previously discussed. On an operating basis, our Forging operations continue to improve sequentially, and results were comparable to the prior-year period. 
 As you can see on Slide 11, income per diluted share for the fourth quarter of fiscal 2012 was $0.46 per share, reflecting a 33% -- $0.33 increase from the prior-year period where we reported earnings of $0.13 per share. The effective tax rate in the quarter was 10.7% versus 40.2% in the prior-year period when a full valuation allowance was taken against deferred tax assets in one of our European affiliates. 
 On a pro forma basis, excluding restructuring costs and bond reduction costs that occurred in the prior year quarter, as well as gains on the sale of nonoperating marketable securities and assuming a 38% tax rate, earnings per share in the fourth quarter of fiscal '12 were $0.30 per share versus $0.20 per share in the fourth quarter of fiscal 2011. The effective tax rate for the full year was 21%, which was in the range previously provided. Our expected effective tax rate for fiscal 2013 is expected to be between 17% and 22%, based on the geographic mix of earnings that we anticipate. 
 On Slide 12, we have compared our full year performance for several key metrics to fiscal year 2011. Revenue was up 13%, largely driven by volume and price increases, as well as favorable currency. Operating income was up 143%, and includes both the gain on the sale of the closed facility that we reported in our fiscal third quarter, as well as the pension curtailment costs that were incurred in our fiscal first quarter. 
 Full year earnings per share were $1.38 versus a loss of $1.89 in the previous year, which was impacted by a valuation allowance on our deferred tax assets in the U.S. and in certain of our international affiliates. 
 On Slide 13, you can see we generated $23.6 million of cash provided by operating activities for the fiscal year. Capital expenditures were $13.4 million versus $12.5 million in the previous year. This increase is being driven by our global ERP system implementation where we have spent $5.2 million in fiscal year 2012 on this project. We expect capital expenditures for fiscal 2013 to be in the $14 million to $17 million range. 
 Finally, on Slide 14, you can see that as of March 31, 2012, debt net of cash was $89.5 million and total gross debt was $153.1 million. Net debt to net total capitalization was 28.4%, which is in line with our 30% net debt to total capitalization ratio goal. 
 In addition to having $89.5 million of cash in our balance sheet at March 31, we have an additional $70.3 million available under our $85 million senior credit facility, net of $14.7 million of outstanding letters of credit. With our new subordinated notes in place, our available cash and with nothing drawn against our revolver, we continue to demonstrate significant liquidity to support our strategic growth plan, which includes strategic acquisitions in emerging markets. 
 With that, I will turn it back over to Tim for questions and answers. 
Timothy Tevens: Thanks, Greg. Okay, Shirley. Let's open it up for questions, if you would please. 
Operator: [Operator Instructions] Our first question comes from Jason Ursaner. 
Jason Ursaner: From CJS Securities. The additional $0.8 million of gross margin, is that just from Chattanooga or that's for all of them, because I thought you mentioned comparable to prior year? 
Gregory Rustowicz: Yes. No. Jason, the $800,000 is related to the hoist consolidation that took place in June of 2010. From a Chattanooga perspective, on a year-over-year basis -- from an operating perspective, the performance was comparable to a year earlier on about $1.2 million less revenue. So when you look at it on a sequential basis, which was one of the items I'd mentioned on our last earnings call, we actually had about a 42% -- 46% improvement sequentially from the third quarter of fiscal '12. 
Jason Ursaner: Okay. And relative to where that business was in fiscal year '10 or even fiscal year '09 for you guys, I mean, how much more do you have left to go once you get volume coming back through there? 
Gregory Rustowicz: Yes, we're still short about $6 million. 
Jason Ursaner: On a gross margin -- gross profit? 
Gregory Rustowicz: On a gross margin basis compared to fiscal '10, which was prior to the consolidation. 
Jason Ursaner: Okay. And then Tim, can you talk a little bit about orders? And you mentioned Europe's still growing. I guess I don't want to get tripped up on the fact that the currency is going to become a larger headwind when the fundamentals are still, I guess, still holding in pretty solid. So could you talk a little bit about orders and what you're seeing specifically from a volume perspective? 
Timothy Tevens: Yes. That's the most important, right, Jason. Currency translation aside here, I think the base business is just still doing fine. As you can see, the U.S. is doing great. Just to give you a little history, you might recall me saying that Europe came out of the recovery like gangbusters 2 years ago and the United States was lagging. Now that it's actually swapped, and the U.S. is like gangbusters, so to speak, and the Europe is peaking out and actually growing very slowly right now. The bulk of our business is Germany, and that seems to be doing fine. The other nations that we do a lot of work in, of course, is France and the U.K. France is flat, and the U.K. is actually up quite nicely for us. And then the balance of the business is emerging markets, and they're, although on a smaller base, growing quite rapidly. Of course, the long-term concern is where does Europe really head given their dilemma that they're faced with. But at this point in time, fundamentally, we're still growing, albeit very much more slowly there in Europe than we have in a long time. The one thing that I'll point to is kind of a concern on our part is that we -- the Pfaff business, which we now call Columbus McKinnon Engineered Products, they have some project-oriented business that quotations are doing -- are pretty flat there, so we're still -- quoting activity is good from the market. We're winning our fair share, but we're finding projects are being moved around a bit. So people are pushing some implementations out and not aggressively pursuing like they did in the past. And that to me is, these are sometimes public works kinds of, municipality kinds of projects, so maybe they're not able to fund them just yet. We feel confident we'll do the work and we'll finish the project. It's just a timing issue right now. 
Jason Ursaner: Got it. And that slower growth or flat in certain markets, that's including an embedded currency? Or you would expect it to maybe even swing negative once you have currency on top of that on a year-to-year basis? 
Timothy Tevens: Yes. That's excluding -- my comments are all in euro comment without currency translation. It could swing negative, of course, year-over-year because of the translation, which now the euro is at what, $1.26 or... 
Gregory Rustowicz: $1.26, and we have been assuming about a $1.30 exchange rate for the year. 
Jason Ursaner: Right. And the comp goes from like $1.35 to $1.45 or so as well for the next quarter from last year? 
Timothy Tevens: From last year, it was high $1.30s, wasn't it last... 
Gregory Rustowicz: Yes, I know in the fourth quarter, it was $1.38 a year ago. I’d have to check, Jason, on the first quarter. 
Jason Ursaner: Okay. And then just last question for Greg. Can you talk a little bit about the pension liability and more specifically, whether changes in the discount rate or shortfalls relative to return assumptions are impacting the cash contribution, but then also how that balances with the pension expense on the P&L? 
Gregory Rustowicz: Yes. And some of this information will be in our 10-K that we expect to file towards the end of the month. And obviously, the discount rate for liabilities has gone down. And we're assuming essentially the same return on asset assumption, which we obviously benchmark and look at what other companies are using for our mix of assets. So with the lower discount rate, we're going to have a higher pension liability, which is actually going to increase our pension contributions a couple of million dollars versus what they were this year. 
Jason Ursaner: That's like in cash or on the P&L? 
Gregory Rustowicz: Cash, cash. 
Timothy Tevens: And the P&L impact? 
Gregory Rustowicz: P&L impact is also expected to be a couple of million dollars higher. 
Jason Ursaner: Okay. And that flows through selling? 
Gregory Rustowicz: It could spread. It's -- there's a piece in selling, but albeit [ph], there's a probably just as big a piece in cost of sales. We have a pension plan that covers a number of our facilities. But over time, we expect that number to be smaller. As you know, we curtailed one of our pension plans in one of our U.S. facilities and we've also made some changes and frozen our salary plan here recently. 
Operator: The next question comes from Schon Williams. 
Christopher Williams: Schon Williams with BB&T. Just very quickly back on Pfaff, did I hear Greg right that, that business is actually down 15% year-over-year? 
Gregory Rustowicz: Yes, it's approximately 15%. 
Christopher Williams: Okay. And how does that compare to where you were last quarter? Or is that business just too lumpy to look at it on a -- is it too lumpy to look at it on a quarter-by-quarter basis? 
Timothy Tevens: Yes, it really is. And this is -- these are these projects that are moving around that I mentioned earlier. And it is a lumpy business. They get multimillion euro orders and then they move them around, and so quarter-to-quarter, it's hard to make any kind of judgment along those lines. 
Gregory Rustowicz: And actually, the other thing we look at, Schon, is the backlog in that business. And that's comparable to where it was at the end of the year. But it is a lumpy business. 
Christopher Williams: Okay. All right. And then just on the incremental margins. A deceleration -- pretty big deceleration from where we were in Q3. Is there anything in Q4 -- was there anything that impacted that number that you think is I don't know, kind of one-time? Or help me understand maybe why we -- how we accelerate from kind of this 26%, 27% incremental margins, how does that -- how do we get that number kind of back up to the low 30s, mid-30s? 
Timothy Tevens: Well, I think the average, Schon, we've always pointed to is the 30% to 40% area. And we average for the year at 39% -- 30% to 39% quarter-to-quarter, and it really depends, number one, on the comp of the prior quarter. And we have some mix changes going on here. It's hard to actually definitively hit it perfectly. Q3 was a wonderful comp quarter as we had a fairly weak prior year. And Q4 was a strong quarter for us last year, so it's a little bit more difficult. So my view is it's going to bounce. It's going to move quarter-to-quarter and it's just the way things happen. And hard to control or draw a straight line quarter-to-quarter. Was there anything odd in the quarter, Greg, that would -- you might point towards that? Nothing comes to my mind. 
Gregory Rustowicz: In the gross margin case... 
Timothy Tevens: This is operating margin he's speaking of. 
Gregory Rustowicz: He's speaking of operating margin? We did have higher G&A cost, which we talked about on the phone. And obviously, the selling –- because we also higher selling cost. A good -- a piece of our selling costs are variable. It's commission-based and sales bonus-based, which obviously are directly tied to the level of sales activity. From a G&A perspective, we continue to move forward with our plans to implement our global ERP system. So we would expect that from an SG&A perspective, that the fourth quarter is going to be about what the run rate is going to be next year, which together is about $30 million of SG&A. But once again, that could move a little bit based on sales activity certainly on the selling line, but also as certain projects that might fall into the G&A category that we undertake, that can move that a little bit as well. 
Christopher Williams: Okay. So let me just make sure I understand. On the ERP, even though you made your -- it looks like you're capitalizing less next year versus where you were this year. The operating expenses associated with consultants and all that, that's actually going to be increasing as we move into fiscal '13? 
Timothy Tevens: I wouldn't say increasing. I would say it would stay the same level that we saw in the fourth quarter here. There are certain expenses we cannot capitalize like after we go live. 
Gregory Rustowicz: Post go live. 
Timothy Tevens: Post go live activity is not capitalizable. 
Gregory Rustowicz: And it also depends, Schon, on where the next implementation is going to be, and we do have one scheduled for Europe. So obviously, there'll be some travel cost involved in our people headed over to that site. 
Christopher Williams: And what are the milestone dates that I should be looking at? When would Europe happen? And are there any other big milestones in fiscal '13? 
Timothy Tevens: That's the next big milestone, and we're pointed toward the end of the fiscal year right now. There's a smaller one in America that we're thinking about doing concurrent with that, but that's, I'll say, up in the air at this point. 
Gregory Rustowicz: And just to give you a sense, this is obviously a complex implementation and it's going to be a multiyear implementation that could go into 2016 as we move forward with it. 
Christopher Williams: Right. And then maybe one last one, if I could. Can you just give me a sense of how you feel in terms of priorities for cash? I'm just trying to get a sense of -- we've been talking about acquisition opportunities for quite some time now. I mean, obviously, that can kind of change almost on a daily basis, just depending on what pops up and what opportunities are out there. But I'm just wondering if something does not come to fruition in the next 3 to 6 months, would you guys start to pay down the debt? Or you're comfortable with current levels? Can you give me a sense of kind of what the scenario looks like? 
Timothy Tevens: Sure. It's unchanged from what we've talked about in the past, and that is that our use of cash would be pointed toward acquisitions. Now, Schon, acquisitions don't happen in the perfect time sequence, especially when you're targeting companies. We are focused on making acquisitions in emerging markets, like China, to give us a better market presence. Dialogue has been ongoing with some targets for a long time. We have nothing to report just yet, but I'm hopeful that we will shortly. Sorry, I can't comment on the next 3 to 6 months because it's too uncertain as the exact timing of any of these closures. But that would be our first use of cash. If we don't see anything on the horizon from an acquisition standpoint, I'm confident and our Board has considered dividends as one approach. But right now, we see much more opportunity and a strategic opportunity and value creation opportunity in the acquisition front at this point. 
Gregory Rustowicz: And Schon, just to further tag on to Tim's comments. From a paying-down-debt perspective, we essentially have the one big note outstanding, the senior subordinated note, that's noncallable for 4 years. And so that's not even a possibility at this point in time. 
Operator: Our next question comes from Joe Mondillo. 
Joseph Mondillo: Joe Mondillo from Sidoti & Company. First question, just could you give us an idea of how sort of the quarter trended month-to-month and sort of how April and May are faring? 
Timothy Tevens: Sure. Quarter -- thinking about the month -- the months in a row, and I'm just trying to do this in my head right now. It -- I would say, it trended upward from a bookings, as well as from a revenue standpoint. Joe, historically, this company has produced, usually a very large March, and that happened again this year. And a couple of things drive that. Number one is we find that there's more activity toward the end of winter and leading into spring when projects get announced and started, and we find our tools, especially our hand tools, get purchased more frequently in the -- toward the beginning of spring, which is March predominantly for us. The second thing that I -- we typically have is a few more days of operations and work in March, which is, again, is true -- was true this March. And then the third thing is we have some relationships and agreements with some partners -- channel partners with us that are seeing business activity fundamental at the end-user level grow. And we did see some buying in advance of a price increase happen in March as well, and that was the third leg of the stool that actually piped up a bit as well. Relative to April and May, we continue to see a pretty positive trend line. Things -- the bookings side slowed a bit in April, I think, because of possibly some of the pre-buying in March, but we're seeing April and May be reasonably strong as well, consistent with the prior fourth quarter. And again the flattening in Europe and the tremendous growth in the emerging markets. 
Joseph Mondillo: Okay. And then in terms of the 1.3% non-U.S. volume growth, how did Europe do versus that 1.3% number? 
Gregory Rustowicz: Yes. Europe, you really have to be break it into the 2 pieces that we have. We have an Industrial Products or CMIP and then we have the Engineered Products. We talked about the Engineered Products being off approximately 15% from a volume perspective. The Engineered -- or the Industrial Products business actually was mid-to-high single digit volume growth. We did see positive pricing. And then a negative would have been foreign currency. 
Timothy Tevens: Yes. So think of the Industrial Products business as our Hoist & Rigging business in the States, which is predominantly hoist and chain and rigging product, and that was up mid-single digit which was kind of nice for us. But the project business, the engineered -- CMEP or the Engineered Products business, which as you may know us as Pfaff, that is kind of lumpy, and these projects are moving around a bit. 
Joseph Mondillo: And that was largely in Europe, so the overall European sales were actually down, is that fair? 
Timothy Tevens: They were, on a volume basis, flat. So one offset the other. 
Joseph Mondillo: Okay. And I guess just a large picture, I guess, looking at Europe. Over the last, say, 6 months, you say things are slowing but not to the extent where we're seeing any deterioration yet. 
Timothy Tevens: No. Other than what I commented on what the projects seemingly to be pushed out, the large projects. Our base business of Hoist & Rigging, which is the product we ship, get an order today and ship tomorrow, that kind of standard product, is indeed growing, but it's going very slowly and flattening out. Germany remains pretty good for us, as well as France and U.K. And the emerging markets seem to be doing okay at this point at least, Joe. 
Gregory Rustowicz: And Joe, one other comment on that would be on a year-over-year basis, our European business backlog is up 20%. 
Joseph Mondillo: Okay. And then also what about pricing in Europe versus the U.S.? 
Timothy Tevens: Similar 2%, 3% kind of increases. The Engineered Products business is a bid-and-get, so you quote current cost so there's not like a price increase on that business, but the standard products, yes, around 3%. 
Joseph Mondillo: How much is the overall Engineered Products business of your total business, generally? 
Timothy Tevens: It's somewhere around -- we've moved so many products around when we consolidated Pfaff into our base business in Europe. It's going to be around, let's say, USD $50-ish million, USD $55 million. 
Joseph Mondillo: Okay. And then just lastly and I'll hop back in queue. The discontinued ops, what is that in reference to? 
Gregory Rustowicz: That is in reference to a note that we had on the sale of the ASI business. And we are pleased to report we have essentially one more payment due to us here shortly and then that will close that off. 
Timothy Tevens: So you won’t have to look at it anymore. 
Gregory Rustowicz: I believe it was, Tim, it was a fairly long note. 
Timothy Tevens: 10-year note. 
Gregory Rustowicz: 10-year note. 
Timothy Tevens: We actually sold it in 2002. So it's -- now, it's -- we got all the cash back except for this... 
Gregory Rustowicz: [indiscernible] the last payment. 
Timothy Tevens: One quarterly payment. 
Operator: [Operator Instructions] Our next question comes from Gary Farber. 
Gary Farber: CL King. Just a couple of questions. Just when you tell what these project size orders, can you quantify how big these things are? 
Timothy Tevens: Several million euros. 
Gary Farber: Great. And do you think –- if you had to speculate, is it a function of -- that the financing isn't there? Or you think customers are just maybe a little bit more cautious in their ordering patterns? 
Timothy Tevens: Yes, I think it's the latter. But I also think that these are -- think of these as actuator systems that are built into the ground in a train station to lift the trains off of the wheels, so it's a huge construction project, and we're one piece of it. We’re the equipment that actually lifts the train. So the timing on these projects frequently gets moved generally back and forth. That's the first thing that happens. The second thing that we're also seeing in addition to that is these are municipalities buying these things, and I think they're trying to control the cash flow to a large degree. So they're moving things around as well. And this isn't just in Europe, by the way, this is around the world. 
Gary Farber: Right. And then just looking at the high level of growth you have in the U.S. So this may just sort of be looking at try too [ph] anecdotal kind of stuff. Is that length, do you see more confidence -- putting aside -- is it all fundamental demand or do you see more confidence coming out of the U.S. customer base, people are more looking to order as opposed to being more cautious in managing their inventory? 
Timothy Tevens: I think they're being more confident. Even our channel partners are stocking up more than they traditionally have. We're seeing huge projects out of Cat and Deere that are wonderful for us, and not afraid to spend money to support it. The shale boom in this country is helping us quite a bit as well. And oil and gas down in the Gulf is doing quite well. Basic manufacturing, the MRO kind of business, which is kind of the backbone and the mainstay of our organization, is doing quite well. I look at our channels and the business that's come through our channels in this past quarter has been very broad and very positive. 
Gary Farber: Right. Okay. And then just one last one, just efforts to recover volume at your Tennessee plant, how is that going? 
Timothy Tevens: It's going slow. I'd like it to go, obviously, a lot faster. We are -- the plant is performing better. We're making better products, shipping on time. I tap our customer base regularly, and they're much more pleased with our product delivery and the ability for them to get it and use it quickly, so that is not an issue anymore. Now it's going back out and getting those channel partners to switch over to us. And that's going to take a little bit of time. It's happening, it's just on a slow rate. And we'll get it back because these are the same customers that buy hoists. So it's not like they're just a Forging customer. They buy a broad array of products from us. So we'd leverage that broad portfolio to them, and actually we're the only company that can do that, to put pressure on getting our business back. And we'll be doing that in the next months and quarters. 
Gary Farber: And just on the manufacturing side at that plant, is there much less that needs to sort of be adjusted? 
Timothy Tevens: There's much less that needs to be adjusted. But I still think there's plenty of opportunity to grow and improve our productivity in that facility. We talk about that every day. We're doing -- I don't know how many Lean people we have in there now, probably half a dozen of them doing basic fundamental continuous improvement on the shop floor every single day. And that's proving to be very beneficial for us. 
Operator: Our next question comes from John Walthausen. 
John Walthausen: John Walthausen, Walthausen & Co. I have 2 questions; one was on the inventory. You've been doing a very good job of moving towards your objectives on a variety of fronts, but we are seeing inventories build. Can you talk about why that's happening? 
Timothy Tevens: Sure. We are not happy with the results of our inventory build. During the recovery, for the last I'll say, 18 months or so, since the recession hit us, we -- our supply chain broke, John. I mean, literally, we could not get motors and we could not get bearings and we had problems with steel. It's seemingly, people just cut to the bone. And when the recovery began and we started to see true demand, our ordering was not being fulfilled which caused us to be late with our customers. So of course, what happens then is there's a lot of expediting, there's a lot of anticipation of poor delivery. And by the way, we're still seeing poor delivery, as crazy as that might sound, from certain suppliers. We actually built up in anticipation of the supply chain continued to be broken. Sometimes, we got actually some solid deliveries in anticipation -- when we anticipated it to be bad, it wasn't bad. So we built in that regard. So that's on the raw material side, predominantly, which we can work down in a reasonable time. The other side of the equation is on the finished goods side. We launched a brand-new product line called the Lodestar -- internally we call it Lodestar 2, even though we don't market it that way, which is a higher design product from the 50-year-old Lodestar that we've had for many, many years. We've actually -- we had double inventory for a while as we transition and are continuing to transition out of the old Lodestar to the new Lodestar. That will be flushing through. And then fundamentally, as well as I think what we need to do is, because the demand patterns were so variable during the recovery in America in particular, we had wide variations of actual demand versus what we forecasted, which caused safety stocks to rise because of that variability. And that variability drives the safety stocks up, and now we need to flush them out. And that's something that we're working on and will be working on this fiscal year to get the inventory more in the -- we'd love to hit a 5x turn, John, as you might probably heard me talk about 4x. And we're at low 4... 
Gregory Rustowicz: 4.3 
Timothy Tevens: 4.3. So we have a ways to go. And that's capital sitting there that we want to use someplace else. 
Gregory Rustowicz: And we do have plans in place to put a substantial dent in our gross inventory dollars over the coming fiscal year. So it's, obviously, a very important metric that the entire organization will have a renewed focus on in fiscal '13. 
John Walthausen: Good, good. My other question was on capital spending. Even though ERP spend is scheduled to go down in the new year, the total cap spending dollars are going up pretty significantly, at least proportionality. Can you talk about whether there were any projects that are worth calling out for us to understand or can you break it down as to how much...? 
Gregory Rustowicz: Yes. We go through a fairly rigorous process at budget time to understand what the capital projects are. And our plants have to come forward to get approval on an individual project by project basis. When we look at our upcoming projects, if we were to exclude SAP or the enterprise resource software, the single largest product or project is less than $1 million, so there's nothing that is more than $750,000. 
Timothy Tevens: Yes, that's a machine tool, John, that we're -- we'll be putting in place. So there's really nothing out of the ordinary. The real growth is coming from the ERP system. 
John Walthausen: Okay, good, that's helpful. Can you talk a little bit about whether to some extent the increased capital spending is for expansion or whether it's -- the hope is to get costs down more? 
Timothy Tevens: Yes. Both. I would say mostly productivity-based. 
Operator: Our next question comes from Bob Franklin [ph]. 
Unknown Analyst: Prudential Financial. Did you mention or have you mentioned in the past, as you look at making acquisitions, what dollar amount would you think would be high enough or too high? 
Timothy Tevens: Yes, good question. We have talked about in the past and we target -- it's probably a revenue-based company of $50 million or less. That's the bulk of the ones that we're focused on right now. And the ones that we're actively working on. 
Unknown Analyst: Okay. And how would I think about the check you write for that, then, should I imply some sort of EBITDA margin and put a multiple on that? Or do you just want to tell me what would make you comfortable or uncomfortable? 
Timothy Tevens: Yes, these are typical industrial companies. They're typically family-owned. They're in a different -- they're in a emerging market. And the conversation is quite interesting, actually, because they have no idea how to value their company. So we usually talk around book value or net assets, that kind of conversation. Sometimes, it does migrate to a multiple of cash flow. You and I would think about that as EBITDA. And we typically think in the range of a very traditional industrial company of 6x, 7x kind of number. So a $50 million revenue company, it could be as high as $50 million, but the ones we look at are would be typically less. 
Unknown Analyst: I believe your last large acquisition was about $50 million. 
Timothy Tevens: Correct. And it was about a $70 million revenue company. 
Unknown Analyst: Okay. And should we think of that as not that you want to get pinned down on the high side or... 
Timothy Tevens: It's -- I really can't say. The last one we did was just a very small one in South Africa, but very strategic to help service the mines down there with our hoist equipment. It was a -- like a 3.5 multiple of EBITDA. 
Gregory Rustowicz: Yes. It was about a $3.5 million acquisition. And it was a fairly low multiple. 
Timothy Tevens: Yes. The Pfaff one was more like a 5 or 5.5 multiple, something like that. So it's hard to say. I think each one is unique unto itself, and we view it that way. 
Unknown Analyst: Okay. And as we see, I don't know, weak headlines coming out of China, you seem like you're still interested there. Can you give us any insight into how you're approaching that? 
Timothy Tevens: Sure. It's a strategic investment for us, we've been building there now for several years, built the sales force, built 8 sales offices, we just hired our 21st engineer. It is a very positive market for us. It's very new for us. So the economic influences, obviously, would affect us, but when you're still growing at 7% or 8%, we're seeing well in the double digits kind of growth from a very small base. And we feel very confident with our strategy that we’ll continue to grow. It's a very large industrial market that's very fragmented, relatively poor service from the smaller competitors, a very little premium product of our nature. And when we make it in China ourselves, in our own facilities there, we'll have the right cost structure, which will be very beneficial for us. So we still view it very strategic, very positive and will contribute to our earnings going forward. This should be a $100 million market for us in terms of revenue. 
Unknown Analyst: Okay. And finally, and I apologize if I blinked and you mentioned this, but as you look at your long-term operating margin targets, can you give us a sense of how much of those you can achieve at current sales levels versus how much you would achieve as you grow through acquisition or otherwise? 
Timothy Tevens: Yes, we'll need the volume. Put acquisitions aside, we think the volume getting back into the mid-$600 million range of revenue will push us back into this double-digit area that we talk about. If you'd look back in our history, maybe '07, we were about 13% or so. 
Gregory Rustowicz: 13.6%, yes. 
Timothy Tevens: So it's certainly achievable without an acquisition. We need to focus on the blocking and tackling. We need to get our Forging business in the right size and in the right profitability. And we think it's a very doable range with volume. 
Operator: At this time, I'm showing no further questions. 
Timothy Tevens: Great. Thank you, Shirley. Let me just close by saying we do expect fiscal '13 to be a continuation of the fiscal '12 year that we just ended. Of course, we'll see some speed bumps. I think Europe won't be perfect and I think we'll have some FX exchange rate changes at us, but also maybe some volume impact, and we're prepared for that. But I think generally, we'll see a favorable market conditions. Not great market conditions, but favorable, especially in emerging markets and the United States. And our investments in the emerging markets are going to continue to bear fruit as we expect the U.S. to continue to grow as well. Europe is going to be slow growth. Hopefully, they stay at this level and then figure out what they're going to do long-term, and then we're going to benefit from that as they recover from their, I guess, recession at this point for most of it. Germany is our largest market in Europe and remains the strongest economy in Eurozone, and we're certainly well positioned to continue to execute our strategic plans to grow profitably. And we have about $89 million in cash, a nice revolver that we can tap to help execute those plans. We are spending a considerable amount of time and energy in acquiring strategic and value-added companies that can add to our product portfolio, as well as provide us a much better presence in these emerging markets. We're going to make a strategic investments as well in the selling in the emerging markets such as China and Brazil, and we're doing that, as well as investing some new products to help us sell into those markets and in the United States, as well as service those markets. 
 Again, I'd like to thank all of our associates around the world for their dedication to excellence and making our company a stronger and a more well-positioned organization. As always, we appreciate your time today. Have a great day and a good Memorial weekend. Thank you. 
Operator: Thank you. And this does conclude today's conference. We thank you for your participation. At this time, you may disconnect your lines.